Operator: Good day and thank you for standing by. Welcome to the Aristocrat Half-Year 2024 Results Conference Call. At this time, all participants are in a listen-only mode. After the speakers' presentation, there'll be a question-and-answer session. [Operator Instructions] Please be advised that today's conference is being recorded. I'd now like to hand the call over to Trevor Croker, CEO and Managing Director of Aristocrat. Thank you. Please go ahead.
Trevor Croker: Good morning and welcome to Aristocrat's financial results presentation for the half-year to 31 March, 2024. My name is Trevor Croker, Chief Executive Officer and Managing Director of Aristocrat. I'd like to begin by acknowledging the Wallumedegal clan of the Eora people, traditional owners of the land in which we meet today and I pay my respects to elders past and present. Here with me in Sydney are Sally Denby, our Chief Financial Officer; and Hector Fernandez, CEO of Aristocrat Gaming with other executives on the line. Today, I'll step through the highlights of the results and provide an update on our strategy. Sally will then discuss our group financial results and balance sheet, after which I'll run through the operational performance and outlook. Please note the usual disclaimer statement at the back of the deck. This is once again an outstanding result illustrating Aristocrat's resilience and ability to grow strongly through different operating environments. Our revenues grew 6% over the period while our segment profits grew 15% with positive operating leverage evident in a number of areas. Aristocrat Gaming delivered another strong topline performance driven by market share gains and install base growth in gaming operations with margins benefiting from the robust performance of our Rest of World operations. Pixel United finished the half-year with encouraging revenue momentum and margin expansion driven by innovative marketing campaigns in RAID and ongoing cost efficiency. Our newly rebranded division, Aristocrat Interactive, performed strongly as we've prepared for the integration of NeoGames, demonstrating momentum in both systems and iGaming. Strong NPATA growth of 16% over the half, reinforces our confidence for the full-year, and we reiterate our outlook that Aristocrat plans to deliver NPATA growth over the full-year to 30 September, 2024. Sally will share more details on the numbers shortly. I'll now turn to our strategy. We've announced today that Aristocrat intends to conduct a strategic review of the Group's Casual and Mid-core gaming assets. That is Big Fish Games and Plarium Global. No decisions have been made yet and the process will assess all options to maximize shareholder value and ensure the ongoing success of these businesses going forward. Aristocrat has a track record of successfully acquiring and integrating businesses. The Group creates value by generating growth and bringing strategic capabilities to the Aristocrat business. The acquisitions of Big Fish and Plarium Global are good examples of this, as they have added significant scale to Aristocrat's Social Casino and broader digital offering, while enhancing the Group's resilience and proving to be critical assets through the COVID period. Both acquisitions have brought valuable content and capability that have enhanced the portfolio. With the expanded Aristocrat Interactive business now sitting alongside Aristocrat Gaming, we have clear opportunities to lean into our strengths in regulated gaming. This spans multiple attractive verticals including Social Casino through the Product Madness business. We'll provide more detail on the outcomes of the review as appropriate. Slide 5 lays out three established core elements of our growth strategy. This describes how we deliver superior long-term profit growth on a sustained basis. Our starting point is investing in innovating to create the world's greatest gaming content at scale. Our commitment to leading levels of D&D and CapEx to support content development is unwavering alongside investment in talent and technology that are improving both the speed and efficiency with which we can deploy content and leverage it across multiple markets and channels. Next, we focus on growing and distributing our leading content, taking share wherever we compete and reaching players wherever and whenever they play, including in existing and new adjacent markets. We identified online RMG as a large attractive adjacent segment for Aristocrat market leading gaming content. Today, Aristocrat Interactive is an established global operating business. The addition of NeoGames will accelerate interactive to become a scaled global player. This will enable it to compete effectively for share in the relatively nascent North American market and unlock significant future growth opportunities including in the iLottery market. We also invest in differentiating enablers that help us achieve and accelerate our strategy. These include nurturing outstanding talent and strong customer partnerships along with a compliance culture that is underpinned by a commitment to a sustainable and vibrant industry. We look forward to sharing more on these differentiating enablers at our upcoming Investor Day on June 26. Turning to Slide 6. The results of our strategy and the effective execution of clear and compelling. Since financial year 2018, Group revenues have grown at a compound annual growth rate or CAGR of 12%, increasing over 75% from $3.6 billion in 2018 to $6.3 billion in 2023, as we've gained share across all key segments. Segment profits have grown at an 11% CAGR, increasing from $1.6 billion to over $2.7 billion over the same timeframe. This strong financial performance has been delivered through diverse economic conditions and some challenging global events demonstrating the resilience of the group. It's also allowed us to continue to fully fund our growth priorities. At the same time, we've returned over $2.2 billion of surplus capital to shareholders through dividends and on market share buybacks. The performance in the first half has set us up well to continue to deliver these results in financial year 2024. Turning to Slide 7. We made considerable progress in the first half of 2024 on our sustainability agenda, driving improvements and further lifting maturity across our most important priorities. I thank many of you for your feedback on our ESG events in December and for your interest and support in our sustainability journey. I'll make some brief comments now and look forward to sharing more detail in our annual disclosures. On Responsible Gameplay, our higher sustainability leadership priority, we've been busy. We rolled out refreshed company-wide training and progressed player-focused initiatives including dynamic messaging for Social Casino players. We also launched a new version of Aristocrat's Flexiplay functionality on new EGMs in Australia. And in the U.S., we expanded our innovative positive play campaign focused on customers and players. Teams across the business were engaged in these efforts and I'm proud that our sustainability agenda has a strong buy-in amongst our people and has become an expression of our values at Aristocrat. We are pleased to announce that in early May, the Science-Based Targets initiative approved Aristocrat's near and long-term emissions targets, and verified Aristocrat's net-zero target by 2050. We are continuing to put in place data collection and policy infrastructure, including collecting data on our greenhouse gas emissions for the 2023 financial year, and we are undertaking assessments to support prioritization of abatement activities over the coming years. We are also preparing to undertake limited pre-assurance work as we move towards mandated reporting in Australia and Europe. Finally, we continue to advance our people and community goals holding our fourth Annual Diversity Summit and completing the first year of our Tribal Community Engagement program in the U.S. Moving to Slide 8. Before I hand over to Sally, I'd like to summarize my comments on strategy and growth by outlining Aristocrat's proposition for investors. We have a track record of delivering high quality and sustainable NPATA growth over the long-term and over the past five years have grown at 13% CAGR. With Interactive established and send to build operational momentum, Aristocrat now offers exposure to three exciting segments of gaming entertainment, all with large addressable markets and at different stages of growth, maturity and stability. We are focused on our most attractive and addressable growth opportunities in each vertical to take share. These opportunities start with great content that we now resonate across each of these verticals and further enabled by technology. A lot of time and effort is devoted to ensuring that we are connecting effectively across these verticals to optimize the strategy. Our leading content combined with leveraging competitive advantage such as our relationships with customers and superior commercialization capabilities has allowed us to achieve leading positions in scale and we see continued attractive opportunities for growth from both organic and inorganic perspectives across all three businesses as we execute our strategy. We are at an exciting juncture in our evolution and we are confident that our successful approach will continue to deliver for shareholders and other stakeholders for many years to come. I'll now hand over to Sally, who'll take us through a summary of the Group's results and provide an update on the capital and our balance sheet.
Sally Denby: Thanks, Trevor, and good morning, everyone. Turning to Slide 10, our Group results summary. The results we are presenting today reflect the new segment reporting structure that we shared with you last week. I'm pleased to present our first results on this basis. We've continued to welcome all feedback on the changes. Over the six months to 1st of March, 2024, Aristocrat delivered NPATA of $764 million, an increase of 16% in reported terms and 13% in constant currency. On a fully diluted basis, EPS increased 20% to $1.12 in reported currency, reflecting our strong operational performance and accretion from our share buyback program. Revenue increased 6% to almost $3.3 billion and 4% on a constant currency basis, reflecting another leading performance from North America gaming operations, strong sales in Asia and strong growth in Interactive. Pixel United continue to demonstrate resilience with share gains in the key Social Slots segment and improved player engagement in core apps like RAID. EBITDA was 18% higher in reported currency, reflecting margin expansions that are from positive mix, operating leverage and cost optimization efforts across the Group. We expect to generate annualized run rate savings in excess of $60 million for FY2024 from our cost optimization efforts, with further benefits to emerge in FY2025. Effective cost management is providing capacity for strategic reinvestment across the group and leveraging our scale effectively with operating cash flows remaining strong. The Directors have authorized a fully franked dividend of $0.36 per share for the period ended 31 of March, 2024. As our operations outside Australia continue to grow strongly, future dividends will likely be partially franked, reflecting further growth in the portion of non-Australian earnings. We intend to manage the dividend payout ratio and the level of franking to ensure appropriate dividend outcomes for the shareholders. Slide 11 provides a snapshot of the drivers of NPATA growth. Gaming significant contribution to the result was driven by strong growth in the gaming operations installed base. UA and cost optimization at Pixel United were also significant contributors. D&D was invested to continue to support Interactive as well as core strategic product technology, infrastructure and capabilities. Finally, NPATA growth also benefited from higher interest income. Turning now to cash flow on Slide 12. Aristocrat's high quality result is evident in our strong cash flow generation over the period, reflecting positive business performance and higher interest income on cash balances offset by higher tax payments. Aristocrat returned $828 million to shareholders through share buybacks and dividends during the half. Approximately 1.4 billion of our 1.5 billion share buyback program has been returned to shareholders to date. Today, we are announcing an additional buyback of $350 million and extending the program through to February 2025, consistent with our capital allocation framework to return excess cash to shareholders. Aristocrat continues to focus capital allocation on supporting our long-term growth strategy and maximizing shareholder returns. In particular, the business drives organic growth through consistent, strong and disciplined D&D, user acquisition and CapEx investment, while also pursuing strategic M&A opportunities. Over the reporting period, Aristocrat invested $425 million in D&D to further strengthen our product and technology portfolios and support our entry into online RMG. This represents 13% of our revenues at the upper end of our annual guidance, which I will address shortly. Capital Management remains a focus as we manage our balance sheet through cycles of investment in inorganic growth. We continue to target a leverage ratio of 1x to 2x net debt to EBITDA over the medium term and subsequent to the period end, we have returned to a geared position following the completion of the NeoGames acquisition. Now turning to Slide 14. Before handing back to Trevor, I would like to focus on our investment in organic growth. The chart on the left tracks investment over the past four years and the right shows changes over the past five reporting periods. We actively make investment choices across our business as we prioritize growth opportunities with a focus on optimizing long-term returns. This total investment has tracked around 30% of group revenues over the past few years. In 2023, we saw a planned uptick in the spend that reflected the growth of our gaming business, increased investment in product technology to accelerate scaling in Interactive, the Roxor acquisition and investments in core technologies to leverage content across platform. While we continue to prioritize our investment in D&D, it has reduced both in absolute dollars and has a percentage of revenue from the second half 2023 levels. U.S. spend at Pixel United also contracted, reflecting a new approach to investing to ensure appropriate returns on advertising spend. Trevor will share more on this shortly. Turning now to Slide 15. You will observe our industry-leading investment in D&D. In Interactive, we have continued to invest a high proportion of revenues as we establish and scale our presence in online RMG. Our disciplined approach has enabled ongoing high levels of investment in gaming. And in Pixel United, we have continued to deliver successful new features and Live Ops towards maintaining investment in creative capabilities. A strong March revenue performance resulted in D&D as a percentage of revenue at the top of the target, 12% to 13% range for financial year 2024. A slightly better outcome than we had indicated at the AGM. D&D investment is expected to return to 11% to 12% of revenue over the medium term. I will now hand back to Trevor, who will step through the operational performance.
Trevor Croker: Thank you, Sally. Turning first to the Aristocrat Gaming business on Slide 17. Aristocrat Gaming revenue and profit grew 8% and 11%, respectively, reflecting continued penetration of our high performing games and cabinets, and another strong share taking performance in North America. North America revenues increased 6% and profits 4%. North American gaming operations revenue grew 12%, driven by a 10% increase in the installed base over the prior year, with particular strength in Class III Premium, up 18% and relatively stable fee per day. We added almost 3,200 units in the first half, extending our leading market share of the installed base to over 40% across our largest competitors. We benefit from continued penetration of leading hardware configurations and high performing game titles, including a strong performance from Bank Buster, Where's the Gold Jackpots and NFL, our fastest scaling game. We expect another strong performance for the second half of the year, such that we expect to achieve an increase of around 6,000 units for the full-year 2024 compared to close to 5,000 units for FY2023. North American outright sales units decreased 9% against the prior corresponding period, reflecting timing of casino openings and expansions as well as higher prior period activity in the post-COVID environment. Aristocrat achieved clear revenue leadership in units over the half with 31% ship share and a 2% sequential improvement. We benefited from new top performing games such as Whisker Wheels, Karma Kat and Kismet Kat. ASPs were stable despite strong contribution from lower price adjacencies. North American margins contracted by 70 basis points to 56.8%, reflecting increased investment in refurbishing our Class II legacy installed base, partially offset by positive mix effects. Rest of World revenues increased 7% and profits 29% driven by strong replacement unit sales, operating leverage and product mix in Asia partially offsetting a weaker sales in ANZ where we maintained leading market share at 38% for the half. Pixel United delivered a resilient performance with cost optimization efforts more than offsetting a revenue decline. Revenue declined 2% as gains in Social Casino will offset by softness in RPG strategy and casual games. Despite the weaker topline, margins improved 560 basis points driven by disciplined UA spending, which I'll address on the following slide. Pixel United retained its leading position in Social Slots and gained share, reflecting continued investment in new content, effective player engagement, Live Ops and features. Social Casino bookings were up 2% on PCP driven by growth in Cashman Casino, Jackpot Magic Slots, and Big Fish Casino, partly offset by softness in Heart of Vegas. RPG strategy and action bookings declined 4%, reflecting softness in Mech Arena and Vikings. RAID benefited from a successful integrated customer retention and marketing strategy and a strong March reflecting a broad range of promotional activity leading into the fifth anniversary, delivering the largest revenue month ever for RAID. We also developed a soft launch RAID in China with a well-established local distributor. Casual bookings continue to decline down 7%. The strong growth in Merge Gardens was more than offset by declines in EverMerge and Other games. One of the new data points we are disclosing is Plarium Play revenues, which represented 11% of total Pixel United revenues in the period. In the future, we intend to provide additional information. For example, in the half, roughly 6% of Product Madness revenues were from off-platform channels. Pixel United continue to focus on long-term value and maximizing portfolio profitability. In response to the evolving mobile gaming market, we have undertaken a thorough review of our portfolio and pipeline to ensure we are optimizing not just our cost base, but focusing on our core strengths and largest opportunities. As a result of these efforts, we've reduced our studio footprint and revised our pipeline review process to take a more comprehensive enterprise approach to portfolio management. Part of the portfolio review is focused on UA spending. We have responded to the evolving environment. This is the second sequential half where UA spend has been around 22% of Pixel United revenues. This reflects an accelerated focus on investing to ensure appropriate returns on advertising spend. We are seeing improved returns on lower levels of spending across Evergreen Titles without any meaningful topline impact. There are a number of factors driving this, including our active efforts to grow off platform revenues in response to IDFA changes. We've made active investments in features and Live Ops to increase our player engagement. We've also been focused on alternative forms of engagement and integrated marketing to drive retention, such as our successful fifth anniversary promotion campaign at RAID. Our lower UA guidance range for the full-year at 21% to 24% of Pixel United revenue takes these changes into account. Turning to Slide 20. And our third reporting segment, Aristocrat Interactive, which we have rebranded from Anaxi on the 26th of April when the NeoGames transaction completed. I'll share more on the subsequent transformation of this segment shortly. Aristocrat Interactive comprised two businesses for the period of 31 March, 2024, our land-based casino and systems management business, CXS and our iGaming business. CXS delivered over 30% revenue growth, reflecting new customer installations and higher hardware sales following a particularly successful G2E with sales activity weighted to the first half. The result was underpinned by recurring revenue maintenance fees, which represented around 60% of revenues. The lift in our iGaming revenue reflects both a full period of Roxor and numerous content launches with major operators in the U.S., Canada, and UK. Performance was buoyed by the release of top Aristocrat titles such as Buffalo and Buffalo Gold Collection and continued success of Roxor titles in Europe. We launched 20 new games during the period and are now live with 10 major online RMG operators across six countries and three U.S. states, with over 90% market access in the U.S. Our strong game performance, elevated Aristocrat Interactive into the top 10 U.S. suppliers within six months of releasing content. We have a strong portfolio of game releases scheduled for the second half of the year and beyond and remain excited about the online RMG momentum and opportunity ahead. I'd now like to touch on how Aristocrat Interactive has changed following the NeoGames acquisition on Slide 21. We've consolidated the Anaxi and NeoGames business into a single consistent brand identity. Over the last several months, we've talked to customers, employees, and other stakeholders, and the clear message we received was that the Aristocrat name is a powerful one in regulated gaming. We believe that rebranding to Aristocrat Interactive will benefit our customer and regulated conversations, galvanize our teams and drive closer collaboration with the Aristocrat Gaming unlocking significant value over time. Aristocrat Interactive will be reported as three operating divisions, iLottery, content and gaming systems. iLottery is a new business for us and we are really excited to add to the diversity of customers we have across the group and serve lotteries throughout the world with a complete solution of new content from NeoGames and Aristocrat platform and services. Content will include one of the leading global aggregators previously known as Pariplay in NeoGames with access to over 150 customers along with great content already being produced by Aristocrat Interactive. Gaming systems will include CXS, NeoGames technology platforms and services for iGaming and online sports betting. These operating divisions shared similar features, enabling content and service delivery and profit drivers. We've provided a high level indication of the relative size of revenue generated by the three operating divisions. In the future, we will report revenue for all three operating divisions. Profitability will be reported at the Aristocrat Interactive level. With NeoGames closing three weeks ago, I wanted to provide a short update on the strides we've already made in integrating this business. Much of our pre-close preparation focused on ensuring 1,200 talented new colleagues felt welcomed and were onboarded seamlessly and building a product and customer pipeline to enable us to accelerate our launch activities once the deal closed. We are also pleased to announce Moti Malul, NeoGames previous CEO as the CEO of Aristocrat Interactive. Moti has worked closely with many of our leaders over the past 12 months through the acquisition and integration planning process. He has moved quickly in appointing his management team, a mix of executives from both NeoGames and Aristocrat businesses. We expect the acquisition to deliver significant and exciting revenue opportunities from the combination of Aristocrat's leading gaming content and long-term customer and regulatory relationships with NeoGames technology and platform solutions. The teams are well advanced in validating opportunities and setting up appropriate mechanisms to track them. Commercial arrangements are already in place for the distribution of Aristocrat's leading content via Pariplay strong aggregation network, particularly across EMEA. We also expect to leverage our existing deep customer relationships to expand the placement of NeoGames player account management, PAM and manage services offering. Being able to offer a complete solution to customers across verticals on a common tech stack provides significant advantages enabling these revenue opportunities. We look forward to sharing more on Aristocrat Interactive at our Investor Day on June 26. Today, we are providing updated pro forma revenue and profit numbers for NeoGames for the 12 months to December, 2023 in a format comparable to 2022 pro forma numbers we shared at the time of the acquisition was announced. We will also be sharing additional financial detail to facilitate your understanding and modeling of the new segment at the Investor Day. While many months of work lie ahead to integrate NeoGames and accelerate Interactive to achieve its full potential, we are very excited about this next chapter of Aristocrat's growth. Moving now to outlook. Aristocrat expects and deliver NPATA growth over the full-year, the 30 September, 2024 on a constant currency basis reflecting continued strong market share revenue and profit growth from Aristocrat Gaming, disciplined execution in Pixel United with a focus on market share and investment efficiency to maintain momentum, accelerating performance of Aristocrat Interactive and further scaling of content to support broader market access in North America and Europe. In summary, the Group has delivered a high quality result over the first half demonstrating excellent growth fundamentals, strong operational momentum across the business in terms of market share gains and early performance and interactive. Going forward, we maintained our commitment to our capital management strategy and our expanded share buyback program and completing the strategic review of the group's Casual and Mid-core gaming assets as set out. Today, Aristocrat has over eight and a half thousand people around the world. And I want to thank each and every one of them for their dedication and hard work throughout the period. With that, I'll conclude the formal presentation and hand back to the moderator to open the line for questions.
Operator: Thank you. We'll now begin the question-and-answer sessions. [Operator Instructions] The first question comes from the line of Justin Barrett from CLSA. Please go ahead.
Justin Barrett: Hi, guys. Congrats on the results. My first question was just on the Class III Premium lease market. Looks like you're pretty much dominating there based on our calculations that about a 100% of net adds across the industry and the space. And your guidance I guess that you spoke to that Trevor looks very, very encouraging as well. But can you just talk a little bit more about the success in that business and your outlook there longer term. I mean, you're saying that you've got about 40% or more of that market. How much more runway is there for you to take share in that space?
Trevor Croker: Yes. Thanks, Justin. Appreciate the question. And I'll hand to Hector in a second. But your assumption on the total increase percentage is right. We believe it's about that number as well. So we believe that's the right scenario. I think what you look at here is a combination of continuous investment in good hardware, continuous investment in great games and high performance and continue investment in licenses and themes. And those all together come towards how do you build a strong premium installed base. But I think we've given you guidance there that we believe it'll be 6,000 units for the full-year, which is building off the 3,200 for the first half and again, at a premium fee per day. So I'll hand over to Hector on some of the how we do it, but I think it really comes down to content, hardware and licensing and then great execution.
Hector Fernandez: Yes. Thank you, Justin. We're very proud of the results, obviously for the half and this is a record for us as the number of net installs that we delivered for the half and it was really across a diversified portfolio. So when you look at the things that we have been investing on how to bring new innovation to a casino floor, we prove that with the NFL and our customers have rewarded us, but that's really only a small percentage of the portfolio. We continue to invest in new mechanics, new game features, that our customers also rewarded us on, to add some pretty significant incremental volume there. And then the last thing I would say is we really shifted this business from being a transactional type business to really delivering value to our customers. And that's why in the opening remarks, Trevor talked about the 6,000 units because as we talked to our customers today, and we have some visibility to the pipeline, we feel confident in our ability to continue to develop the world's best content and commercialize it at the highest rate possible.
Justin Barrett: Thanks, Hector. Great. Thank you. And then the next one I just want to ask just around the strategic review of that Casual and Mid-core gaming assets in Pixel United. Trevor, can you just expand on how we should think about the actual potential outcomes there? And if you can give any indicative timeline on how you think that or how long that review could take or when it could be completed by?
Trevor Croker: Yes. Thanks, Justin. We wanted to announce the day because it's a clear strategic decision that the business has made. We're not giving any guidance at the moment, and it is at the early stage. But we are confident that this is the right strategic choice off the back of the change in the organization post the NeoGames acquisition. So we're not providing any extra guidance at this point in time. It is a process we wanted to let the market and our shareholders know what our intentions are and the fact that we are focusing on where our regulated gaming content specialties lie and continue to leverage that strength across the business and the markets in which we are competing.
Justin Barrett: Yes. Okay. And then if I can just squeeze in one last one. In your guidance note, for the Aristocrat Gaming business, you removed the commentary for FY2025, 2024 guidance regarding moderation in consumer spending in key markets. Is that just on the fact that you are still continuing to see very good strength in the consumer more broadly in your key markets?
Trevor Croker: I think the key piece here Justin is, when we look at what the market's doing at the moment. We feel confident that, again, with the investments we're making, premium product and premium performance will be the priorities for our operators. And so what the market is, whether it goes up or down, is not really part of our concern at the moment. What we're going to do is we're going to take share whatever size the market is. On that basis, we think premium product and premium execution and premium performance will actually be where people gravitate to. We saw that coming out of COVID and we expect to see the same outcome regardless of what happens. We have talked in the past about the resiliency of the North American gaming markets through the global financial crisis in 2008 and 2009, where there was less impact in those markets, particularly the tribal markets where we're more exposed and say that more commercial markets. But we've taken that out because we believe we can compete in the market premium product and performance will deliver, and we're confident about that.
Justin Barrett: Fantastic. Thank you very much.
Trevor Croker: Thanks, Justin.
Operator: Our next question comes from David Fabris from Macquarie. Please go ahead.
David Fabris: Good morning, Trevor. Good morning, Sally.
Trevor Croker: Good morning, David.
David Fabris: Good morning. I just wanted to ask a question around guidance. I mean, you've reiterated growth of NPATA for the full-year. I think at the AGM, you spoke about a second half SKU with NPATA being high sequentially. I mean, I assume that's still in place. And if that's the case, can you talk to the revenue drivers behind this? And whether there's any more benefit from costs optimization that's going to flow through in that second half please?
Trevor Croker: So some opening comments and I'll hand to Sally for you, David. I guess where we saw – where we've seen the performance of the first half, we've seen a strong end to the half coming off the back of a very strong RAID period in the digital business and continued high performance from the gaming business, particularly in the outright sales in Rest of World and also the gaming install base, sorry, gaming ops install base in North America. Where we guided to in the half was that we saw a second half being strong. I think what we've said now is that we've got around 6,000 units full-year for gaming operations, which is our expansion expectations, which will be the highest year-on-year expansion that we've had in gaming operations. As far as costs go, I'll just hand to Sally, it is about an ongoing program is the comment I'd put upfront. And that we feel confident about our ability at a topline level to continue to be able to drive the growth that we require and through good management, we will get the leverage through the balance of the year.
Sally Denby: Yes. Thanks, Trevor. I think on the cost side, David, a couple of things I'd point to is if you look at our headcount including [indiscernible] eight and a half thousand is included in Neo. If you exclude that, you can see that we've actually gone down slightly year-over-year on the core business premier. I think also when we talk about costs, we're talking holistically about the SG&A and the D&D overheads and what you can see is that although we were up over the first half last year, we're down sequentially if you take both of those together. So we're absorbing the CPI, that you would normally carry across the business while managing the cost base pretty tightly. In the commentary this morning, we have stated that we anticipate full-year savings of circa 60 million. That's net savings because there are some additional investments that we do. And we see those benefits rolling forward into full-year 2025.
David Fabris: Got it. Just to clarify, those 60 million savings. I mean, how much of – I mean obviously that's a 12-month rate, I'm assuming. Are you able to tell us the amount that was banked in the first half?
Sally Denby: No. We're talking more holistically over the full-year, but I think if you were to look at our SG&A numbers and our D&D numbers, you actually see that there is some savings across the half over half from second half 2024 to – second half 2023 to the first half 2024.
David Fabris: Got it. Thanks. And just one last question for me just around the D&D guidance. Appreciate you talking to the 12% to 13% range this year and I feel like it's 11% to 12% next year. I mean, can you get into the 11% to 12% range in the second half or is it still going to be kind of a little bit above 12% in the second half?
Trevor Croker: Yes. David, our guidance is 11% to 12% in the mid-term – is in the mid-term. So it is going to take us some time. We are investing behind the integration of the NeoGames and technology to enable that. We will be within our guidance on the full-year basis and we feel comfortable that we can achieve that in the second half. And that is whilst we continue to be more efficient in our core investments and continue to invest in the NeoGames as we bring that on to accelerate penetration of games and into markets from those businesses. The 11% to 12% is not necessarily next year, it is over the mid-term, but we believe we will get back there through efficiencies and streamlining the way that we release games and grow the business.
David Fabris: That's understood. Thank you very much for the additional color. Appreciate it.
Trevor Croker: Thanks, David.
Operator: Thank you for the questions. [Operator Instructions] Next question comes from Andre Fromyhr from UBS. Please go ahead.
Andre Fromyhr: Thank you. Good morning.
Trevor Croker: Good morning, Andre.
Andre Fromyhr: I just wanted to ask about the, firstly about the revenue yields on the ops business in North America. It looks like it was up about 1.2% year-on-year. But I was wondering if you could share a bit more color around, how much of that is sort of a GGR effect or given the change in the installed base over that time. What could be driven by mix?
Trevor Croker: Yes. I'll make a couple of comments and then certainly hand it to Hector. I think the key thing here is to look at the 18% increase in Class III gaming operations installed base, and that is our premium installed base. So that's really what has driven the majority of the yield. It continues to be a strong contributor there that plus the game configurations as well. But I would just say Class III plus mix, but Hector you might put small color around that.
Hector Fernandez: Yes. Thank you, Andre. It's really all of those things. I mean, we're really proud of the fact that we were able to continue to grow fee per day despite some normalization of coin-in levels in North America, right? If you look at year-over-year, last year were highly elevated coin-in levels. But our ability to continue to take to charge a premium price relative to premium performance is clearly contributor of that. And that's despite some weather-related impacts, particularly in the January period across North America. And so the ability to place premium content at a higher fee per day, slightly offset by lower coin-in levels and some weather-related events across North America. So again, we're very proud of the performance of fee per day.
Andre Fromyhr: Right. Thanks. I was just wondering – the next question, if you could talk a little bit about your M&A appetite. I understand it's still part of the capital allocation strategy, but if I reconcile that with previous comments, Trevor, around not needing to buy share in the land-based business. I think post NeoGames, you've said you have what you need to succeed in iGaming and with the strategic review on the social stuff, that sounds like that could actually go the other way. So like what categories would you be interested in from an M&A perspective?
Trevor Croker: Yes. Thanks, Andre. Couple of comments for me. First of all, we continue to see inorganic investments a great way to accelerate growth for Aristocrat. We've got great share taking opportunity in the core businesses, each one of them and we'll continue to focus on that. As far as opportunities go, there are opportunities in my opinion, there's opportunities in each one of the sectors in which we choose to compete. It's a case of what is the right priority. I think right at the moment, we are very excited by the opportunities in gaming, particularly with the consolidation going on by our competitors, and that will free up opportunity to take more share and for us to be more competitive. So we see that as a great opportunity in the nearer term. As far as actual M&A targets go, we do see that there are M&A targets in gaming and in iGaming and in the Social Casino business. And we'll continue to pursue those and monitor those consistent with our strategy. And we have a disciplined approach to M&A and we continue to be in the flow on targeted basis of what we're looking to achieve against our strategy.
Andre Fromyhr: Great. And maybe just a final follow-up to that. The balance sheet, once NeoGames is reflected in the next balance sheet, I guess, I estimate that would be around 0.6x EBITDA for leverage versus your target of one to two. And the extra buyback announced today still wouldn't get you to that target range. So I guess the question is what are you waiting for to do more from a capital perspective?
Trevor Croker: I think I'll just make some good comments and Sally will give you clarity around the balance sheet. We're three weeks into landing Neo would be my first comment and making sure we accelerate that acquisition and maximize the value of that acquisition, and we're certainly focused on that. Moti and his team and our team are focused on doing that as a priority. So that's the capability piece that we're focused on is making sure we accelerate out of the acquisitions that we've just made and continue to leverage those across the group. As far as the balance sheet goes, I'll just hand over to Sally from that perspective.
Sally Denby: Yes. I think, look, post-Neo yes, we are back in a net leverage position. We do regularly review our debt capital position and remain comfortable with the terms of the debt that we have in place and the rates and we've also got effective hedging on it. I think what you could probably appreciate is with a number of strategic moving pieces at the minute. We need to just give ourselves a little bit of time to manage through those and understand what those outcomes are. But we do look at this on an ongoing basis so it's not a set and forget, but as I said, we've got a number of moving strategic pieces at the minute, which will come into play as we make decisions around our balance sheet and our financing position.
Andre Fromyhr: Okay. Thank you very much.
Sally Denby: Thank you.
Operator: Thank you for the questions. Our next question comes from Paul Mason from E&P. Please go ahead.
Paul Mason: Hey, there. It's two for me. The first one, I was just wondering if you could make some comments around with the interactive business and its growth this year, like how much of that step up could be attributable to sort of the release of the Buffalo Games that you've released so far versus the sort of organic growth from the existing elements through the half. And then the second one, I was just wondering if you could provide a little bit more color around the soft launch of RAID in China, whether you've got all the appropriate licensing in place to commercialize that game with your partner yet or not, and sort of whether you've set dates for like a larger launch or not?
Trevor Croker: Yes. Thanks, Paul. Appreciate that. Certainly Buffalo and Buffalo Gold Collection were two drivers of the organic performance of the Anaxi business in the half. And you saw both of those raised to – I think Buffalo Collections now number 11 ranked game in the online and Buffalo is number 27 individually. So they have been key contributors. I think the other thing here is, Interactive, you need a portfolio of games and we've been very careful in the way we've strategically released our games so that we actually are able to use those games each time and build on our performance as opposed to continue to just take from our own portfolio. So they have been a key driver of that and we've learnt some good lessons over these six months. We are still within the top 10 gaming suppliers in North American in iGaming slot content, and we believe that we can continue to grow that significantly as we start to release more games into more markets going forward. So Buffalo was a bigger part of that and there'll be a pipeline. As I said in my opening, there'll be a pipeline of games that'll come through in the second half into the North American market. And we've also started putting our games, Buffalo included through the Roxor network into Europe as well. On your second question about RAID China, we have a partner, we have a license, we've been working with them for a period of time. We have made localized content, which that will resonate with the Chinese consumer and is consistent with the Chinese regulations. We're not disclosing. We are going to go into soft launch, but we have done a number of technical tests and we're continuing to refine that product and we'll work with our partner as to when and how we go to soft launch. And as you know, with any social game, there's soft launches and then eventually you get to – sometimes you eventually get to worldwide launch. So in this stage, we're at the early stages of soft launch, but we have got a partner, we have got a license that has been approved. It is localized content and we're continuing to work with that partner.
Paul Mason: Thanks a lot.
Operator: Thank you for the questions. [Operator Instructions] Our next question comes from the line on Matt Ryan from Barrenjoey. Please go ahead.
Matthew Ryan: Thank you. I have two questions on margins. The first question was in your land-based Rest of World division where you saw pretty massive increase in margins. But those margins look pretty similar to what you were doing prior to COVID. Just trying to get a sense of whether you think those margins are sustainable. Is there anything sort of one-off in the last six months that you wanted to call out?
Trevor Croker: Sure. I'll hand it over to Sally, Matt.
Sally Denby: Yes. I think Matt, Rest of World obviously includes some lumpier businesses as well, and so you do see that margin move around. Talking specifically about the first half, we saw strong performance in Asia with both leverage and volume increasing and some lower input costs as the supply chain normalizes. We've seen some increase in the recurring revenue or the hybrid model within ANZ, which contributes. And then again, in Europe, we've had slightly stronger margin based on product mix and again, some normalization of supply chain costs. So I think, we saw strong performance in the half, but there is a little bit of volatility that you see in that market, particularly driven by new openings as they come through in the APAC region.
Matthew Ryan: Got it. And within Pixel United, so I guess two part question. Looks like the D&D within that division was up about 15%. Doesn't look like there's any sort of new releases coming out. Revenues sort of fell a little bit year-on-year. So maybe just a question around why the D&D is going up by that much? And then second just looking at your user acquisition guidance, obviously that's also coming down. But looking back to when you used to be a Social Casino only business, you used to spend UA at around 20% of revenue. Obviously the market might have changed a lot over that time. But just trying to get a sense of whether you think that type of UA spend for Social Casino is still appropriate now or has that cost of marketing sort of gone up because of things like IDFA and other things over time?
Trevor Croker: Yes. I'll do the second half of the question and Sally might just put a little bit of context around the first half, Matt. The second half of the question on the UA is IDFA has changed the shape of the marketing and that's why we've changed the way we approach our UA. We talk about UA optimization. So Roxar become a more important driver of what we're doing and we stay focused on that. And looking at integrated campaigns, you would've seen, you may not have seen, but Lightning Link's been on television, for instance, is a way of addressing different marketing channels to market the games and the apps. So I think where UA sits at the moment on the 21% to 24% guidance without any new games or new apps makes sense and it's the appropriate spend on a Roxar basis that we feel is appropriate to be able to deliver the games. I think if you look at the performance of the games that we've invested behind. The Social Casino portfolio has outgrown the market. RAID continued to have a very strong half and had its record March. And that wasn't because of UA, that was because of an integrated marketing campaign. And we'll continue to focus on doing that. I think the second part to that is, we are continuing to scale, so we are scaling things like Mighty Fu, which is a very small Social Casino app at the moment. There are apps that we can continue to scale in our UA spend. But we feel that UA now is actually appropriately weighted to the investment and the stage of the portfolio. And we'll continue to monitor it dynamically. But we've provided guidance that we feel comfortable we can live with for the full-year. I don't know if you want to talk on margin?
Sally Denby: On the D&D?
Trevor Croker: On the D&D. Sorry, my apologies.
Sally Denby: Hey, Matt. Yes. On the D&D, yes, year-over-year and the number has gone up. But if you look at it sequentially, second half to first half 2024, it's moderated slightly. And I think Trevor just spoken about UA, we've got increased investment in Live Ops and features, which means that there's a reallocation of some of that spend from U.S. to retention. And we are – as we've said throughout this, we are focused on controlling costs and make sure that we're driving appropriate returns. So the D&D has come down slightly, but we do believe that's appropriate based on the level of investment. You’ve also got just one other comment, Matt, would be that we've got the NFL game in Product Madness, which is under production at the minute as well. And so that does contribute to the D&D cost, too.
Operator: Thank you for the questions. [Operator Instructions] Our next question comes from Rohan Sundram from MST Financial. Please go ahead.
Rohan Sundram: Hi, team. Thanks for that. I might just start on the land-based the gaming business, either for Trevor or Hector. If you could just, please give us some color on how you're seeing the medium-term growth pathway at end. I know there's been such strong growth so far and take on Board commentary on the second half, especially for net installs. But do you still see a pathway ahead for solid growth in land-based in the medium term?
Trevor Croker: Absolutely. And I'll hand to Hector, but I mean, I do – yes, we do, Rohan. We still see opportunity to take share. If you look at our shares, there's still opportunity in both existing segments also in adjacencies that we're only just entering as well. So I do see growth there. Before I hand to Hector, just to put the line under it, some of the consolidation in the market at the moment to me creates great opportunity for premium suppliers and premium product producers. So we see that as another opportunity as well, but to Hector's confidence.
Hector Fernandez: Yes. Thank you, Rohan. I really do. I mean, if you look at any time we've entered a new adjacency, that's share that we're taking from someone else just because we were in that part of the business. And you could see over the last 24 months of performance we've been able to deliver around that. Now adjacencies can be lumpy, as you would have seen from this half performance. But if you look at one of the things that we also talked about as we just entered the Georgia Coan market in March, which is a 40,000-unit TAM market with some additional growth prospects there. So in North America, we still continue to see growth via additional share taking and also entering markets we're not currently in. But then if you look at broadly even outside of North America, I mean, you saw in Asia, specifically, we doubled our revenue year-over-year. And it's just really our commitment to finding these growth markets and making sure that we deliver the appropriate content, the tailored content that resonates with the player. And so we still remain very bullish on the gaming market overall and still believe there's enough growth and plenty of growth left in front of us.
Rohan Sundram: Thanks, Hector. And a take on Board the adjacent markets are very lumpy. Can you just talk through what drove that lumpiness in this period versus last year? Was it a really strong comp or just timing or what was the reason?
Hector Fernandez: Yes. I mean I think one of the things when you look at what happened last year in the adjacencies as we entered some significant adjacencies, particularly Illinois VLTs and HHR where we shipped a pretty large number of units and took significant share. And so obviously, from a year-over-year basis, some of those floors had already been refreshed. And so you're not seeing the same level of adjacency performance overall. But if you look at overall North America game sales in the market, and you would have seen our competitors disclose earnings as well, we continue to take additional share in the core video market despite the adjacencies on a year-over-year basis being down. And so, we feel good about our ability to make great content commercialize great content to Trevor's kind of opening points regardless of what the markets are doing.
Rohan Sundram: Thanks, Hector.
Operator: Thank you for the questions. [Operator Instructions] Our next question comes from Adrian Lemme from Citi. Please go ahead.
Adrian Lemme: Trevor, Sally and team. Just wanted to delve more into the growth in the Class III gaming ops. It was really encouraging to hear that outlook in terms of 6,000-unit growth for the full year. But if I look at the surveys, they kind of indicated about two-thirds of the growth this half has come from the NFL rollout, which has been phenomenal but the recent surveys also indicate that performance has fallen below 1.7x in the last month that suggested units actually fell for that month. So I just wanted to understand, is that sort of data not indicative of what you're seeing in the business? And is the NFL underpinning that growth into the second half, please?
Trevor Croker: Yes. I'll just make a comment that we're committing to 6,000 full year. And so NFL is just one part of that portfolio, but we are committing to 6,000 installed base increase for the year and Hector can talk to the constituencies and his vision for the second half.
Hector Fernandez: Adrian, if you look at when we did the NFL and we talked about the NFL introduction, it was really around innovation and attracting a new player base. As the market leader, we really felt like it was our responsibility to drive diversity on the floor, which is essentially exactly what we've done, right? The NFL was the fastest scaling web in our history. And part of the NFL is actually gaining the floor share that specific cabinet on the floor. And so our strategy has really been not only did we launch six NFL games in all different kinds of Class III, Class II mechanical and video. We also will continue to develop additional NFL content and additional content, proprietary content that fits into those cabinets to preserve that floor space. So we feel very confident in our ability from a portfolio, and it's not just me saying it, but you can see it in the performance of the business, our ability to get the placements and then maintain the placements over time.
Adrian Lemme: Okay. Great. Okay. So you're not – so there's no concern from your casino customers about how it's going and delaying their rollout and or not, you're still confident on how it's going?
Trevor Croker: Yes. And I would note that third-party survey also severely understated our net gaming ops installed base. So I would just would highlight that.
Adrian Lemme: Okay. Thank you for that. And just, look, one other question, please, on Interactive. I know I think Trevor made some comments earlier about the growth in iGaming. Does the revenue grew about $9 million this half versus the PCP. Does most of that fall to EBIT given that I imagine, obviously, development costs have already been incurred. Like is that a sort of a big driver of the EBITDA overall, please?
Trevor Croker: It doesn't all fall to EBIT because we're at a scaling stage, Adrian, to be honest with you. This is only at a very, very early stage of scale. So each market requires new technology, new submissions, new games. So our objective now is to build a portfolio of games on a solid technology platform and then publish it across as many customers in gaming markets. So we're at a scaling stage at the moment. So the positive margins that came from CSX were offset by the investment in iGaming to scale and to accelerate our entry post the acquisition of NeoGames. So it didn't flow through, and it won't flow through in the next period either because we will continue to invest to build out the portfolio of both gains and technology into the integrated platform.
Adrian Lemme: Got it. That, that's very helpful. Thank you.
Operator: [Operator Instructions] We have no more questions at this time. Allow me to hand the call back to Trevor for closing.
Trevor Croker: Right. Look, thank you, everyone, for your time today, and I really appreciate your interest in Aristocrat. As you can see, we continue to execute well against our strategy, and we continue to offer a diversified gaming portfolio that leverages the content and the capabilities of our organization. We're consistently strong investment in talent, technology and innovation leaves us confident that we can capture the numerous opportunities that lie ahead. If you have any further questions, please don't hesitate to reach out to our Investor Relations team. I'll now call the formal proceedings to a close, on behalf of the Board of Aristocrat team. Thank you for your interest, and we wish you a good day. Thank you.
Operator: This concludes today's conference call. Thank you for participating. You may now disconnect.